Stephen Kelly: Today, I want to walk you through Cirata's results for the first half of our 2025 financial year and share how we're positioning the business for long-term success. I'm pleased to report that in the first half of 2025, Cirata delivered solid growth. Revenue rose to $4.8 million, up from $3.4 million a year ago, an increase of over 40%. Bookings increased to $3.8 million, a 58% year-on-year rise. Importantly, our cash overheads fell to $8.5 million, a sharp reduction from the $11.8 million of last year. This improved efficiency has had a real impact. There is further evidence of operating leverage. Our adjusted EBITDA loss halved, moving from $8.6 million loss last year to a $4 million loss this period. As at the end of June, we held $6.1 million in cash with a further $1.3 million in receivables, giving us the cash plus receivables position of $7.4 million as we move into the second half of the year. So we're encouraged by our progress we've made in reducing costs, focusing the business and strengthening our balance sheet. However, we still have to deliver results and consistent scalable growth with an emphasis on new logos and new customer names. A major driver of the growth and momentum is our data integration business, which is the core focus for Cirata's future. Bookings in this segment reached $3.1 million, up over 200% year-on-year. During the first half, we signed 20 contracts, including our first enterprise-wide license agreement with one of the world's top 20 retailers, a renewal with a top 5 Canadian bank and a new partnership win through our collaboration with Databricks. This first half momentum comes on the heels of our Q4 FY '24 announcement of our contract with a top U.S. bank. Q4 FY '24 and Q1 FY '25 were $3 million bookings quarters, and this level of performance showed some early signs of recovery. However, we need to demonstrate quarterly progress, and this was not the case with the Q2 results where we've expressed our disappointment. Successful sales into highly complex enterprise environments with our Live Data Migrator product is hugely encouraging. LDM Live Data Migrator addresses a real pain point for our customers. However, I'm not satisfied with the speed of execution, particularly as it relates to new customer acquisition. We know we need to execute better, both direct with the customer and working with our partners. We continue to strengthen our strategic partnerships. And in the second quarter, we signed an agreement with Microsoft Azure as part of their storage migration program. This opens up a new channel for bringing our Live Data Migrator product to more enterprise customers worldwide. In addition, we're pleased with our first DMaaS project data migration is with Databricks and a new partner for Cirata. As we exit the first half year, we continue our momentum. In August, we took an important strategic step by completing the divestiture of our DevOps assets to BlueOptima. This transaction will yield up to $3.5 million in cash and importantly, allows us to focus entirely on data integration, where we see the greatest growth potential for the company. The company was subscale to compete effectively with two totally different product sets into two totally different buyer communities. So along with this, we've taken decisive actions to align our cost base with our growth strategy. By the end of the third quarter, we expect our annualized cash overheads to be in the range of $12 million to $13 million, down from $16 million to $17 million earlier in the year and over 70% lower than the peak levels of 2 years ago. I know we still have much to prove, but it's encouraging to see the early operating leverage with increasing revenues with a cost base of less than 1/3 of the peak. The company's challenges have been well documented, and we've been transparent during the rescue and recovery phases. The top priority after hardening the product for enterprise workloads is the go-to-market, GTM as we call it. The company has failed to deliver consistent high-performance sales and marketing execution. Since I've joined pretty much the whole of the go-to-market team has changed. As a result, I'm very pleased to welcome Dominic Arcari as our new Chief Revenue Officer, who is appointed in July. Dominic brings 4 decades of enterprise software experience, and he's already making an impact by strengthening our sales execution in both North America and international markets. Our outlook remains unchanged from the guidance we shared earlier this year. We expect bookings to be weighted towards the second half of the year with strong growth in data integration continuing. We remain confident that with the actions taken, divesting noncore assets, cutting costs and focusing on execution, we will not require further working capital fundraise in FY '25. Our focus is for the data integration business to continue at triple-digit growth. Strategically, we've been working hard on looking at future enterprise data modernization demands. And as a consequence, we're broadening the applications of our live data migrator product, expanding into new use cases for large data modernization. This includes leveraging open table formats like Apache Iceberg and advanced orchestration capability that will serve enterprises undergoing digital transformation to become an AI-centric enterprise in an AI-centric world. This will be covered extensively in some new product announcements in the second half of 2025, which will expand the total addressable market and position Cirata for category leadership in the emerging data orchestration market. To sum up, the first half of FY '25 shows that Cirata is on a path to sustainable growth. Revenues and bookings are growing. Costs are coming down, and our data integration business is gaining momentum in some of the biggest brand name consumer companies in the world. Already, Dominic Arcari is having a positive impact on customer engagement, pipeline build and lead generation. The demand for artificial intelligence and advanced analytics is in creating an unprecedented need for secure, scalable, vendor-neutral data movement. Cirata is uniquely positioned to meet that demand. Finally, I want to thank our shareholders for your continued support, our customers for your trust and commitment and our colleagues for their passion and energy. Together, we are building a stronger, more focused Cirata, one that is set to exit FY '25 on a clear growth trajectory. Thank you.
Unknown Executive: So turning to a short Q&A now. Stephen, the first half of '25 is now complete. How is the scorecard looking relative to your plan coming into the year?
Stephen Kelly: We had a very strong first quarter. In fact, it was the strongest start for the company since 2019. We're also pleased to land our first enterprise-wide license contract with a major U.K. retailer and our first data migration project through Databricks. But our Q2 performance missed our internal plan. Despite a weak Q2, our first half data integration bookings were up over 200%. I'm also pleased that operating leverage is beginning to become very apparent. We've taken a lot of cost out of the business in the last couple of years, and this is always a challenging process, but we're growing revenues year-on-year on now 1/3 of the cost base. Also, I would add on the subject of leverage that the divestment of DevOps also signals further cost optimization and an important focus on data integration for the whole company. As we exit Q3, we can expect cash overheads to reduce further to between $12 million and $13 million from its current $16 million to $17 million per annum.
Unknown Executive: Can you talk a little more about the decision to sell the DevOps assets?
Stephen Kelly: Yes. Perhaps the first thing I should say is that we're delighted to find such a good home for the DevOps business and product and the team that supports it. BlueOptima is a first-class company that will continue to support and leverage the DevOps products and customers into their growth plans. Honestly, Cirata was subscale to support 2 different product lines selling into 2 different user profiles. And as we've shared, we completed the strategic review back in 2024. The headlines resulted in the divestment of the DevOps business and the new product innovation into the emerging data orchestration marketplace and more of that to come later in the year. The 2 obvious pluses for Cirata with this divestment are the resulting focus on data integration, which we view as our core growth opportunity and the further rationalization of the operating structure and progress in that part of the business. For the first time in my tenure, we have a company that has an operating structure and a product profile that is aligned with our singular focus on the growth opportunity ahead of us in the data integration marketplace. By divesting our legacy DevOps assets to BlueOptima, we've sharpened our focus on data integration. We've strengthened our balance sheet. We've reduced our running costs and removed any drag on growth.
Unknown Executive: Now Stephen, you said in your prepared remarks and disclosures that you're not happy with the speed of execution. Can you expand on that?
Stephen Kelly: Yes, I've been unhappy with our ability to source opportunities, accurately qualify and move them through the sales process and pipeline. We've not been doing the sales basics well enough. We need to accelerate the acquisition of new customers. This is now what we're demanding from our internal efforts in the go-to-market team. Key to us, and I think our investors is new logos. This is the land part of the strategy where we must do better. However, we've done a good job of rebuilding trust with our existing customer base and partners. We've demonstrated in the bookings announcements over the last several quarters, the expanding volume of data movement and new use cases with our blue-chip customers. This expand part of the strategy, I think we're showing good progress. So overall, the strategy of land and expand, more to do on land, but doing a reasonable and good job on the expansion with customers.
Unknown Executive: Can you talk a little bit more about the go-to-market and the decision to appoint a new CRO?
Stephen Kelly: Yes. Dominic Arcari joined the company in July. So it's early days for Dominic. However, he is a seasoned professional with over 40 years' experience in selling into complex enterprise environments and has held a number of leadership roles over that time. We were failing, as I said, to do the sales basics consistently and well. Now I've known Dom for close to 30 years, and I feel fortunate to have been able to persuade him to join us on what he and I believe to be an exciting opportunity. Dom will continue to develop the go-to-market function and have sole day-to-day responsibility for its execution from lead generation to pipeline build to closing contracts with customers. We can expect at the margin, our investments will be going into sales and marketing as we scale and grow the business. So lots of new energy, focus and importantly, experience going into the go-to-market function.
Unknown Executive: Now in the last few quarters, you've talked a little bit about product development and new opportunities for Cirata. Can you expand on that?
Stephen Kelly: Yes, I'm really proud of the efforts of the product, the engineering and customer success teams over the last couple of years. They've worked really hard to bring the existing Live Data Migrator product to a standard that is enterprise hardened and ready. The environment we sell into are complex, demanding and often mission-critical to our customers. Alongside this effort on our core data integration product, we have been planning for a growth future that addresses something we've referred to as data orchestration. More to come on that in the second half. In addition to Live Data Migrator core value proposition, we see opportunities positioning Cirata's product offering into a broader and deeper marketplace for enterprise-wide data orchestration at scale. We'll say more about this in the coming weeks and months, -- and I'm personally very excited by what the team have developed in the labs. So stay tuned.
Unknown Executive: So Stephen, what can we expect from the second half of full year '25?
Stephen Kelly: Well, as I have alluded to much more detail on product positioning and market opportunity, continued improvement in the operating cost structure and by extension, the sustainability of the business. We will also start to transition the KPI reporting metrics to better reflect the year-on-year improvements in the business as we exit FY '25, including annual contract values and revenues as well as looking at total contract values. This should allow the market and investors to get a better sense of our underlying growth rates and quarterly momentum. With the added KPIs, the growth trends will be clearer. However, our recovery will continue to be lumpy and nonlinear. Our outlook for the full year has not changed since our disclosure on the 9th of January 2025. And then as we said, the year will be back-end loaded. Obviously, I'm always pushing for us to be moving faster in the near term. However, we're making steady progress in product positioning on the cost base and the go-to-market. We've never been more focused or better aligned on the opportunity ahead of us. With the announcement on the product side in the second half of the year, we're very excited about the potential for the business and looking forward to the growth journey ahead.